Operator: Good morning, and welcome to the Third Quarter 2022 Results Presentation for Hillman Solutions Corp. My name is Therese, and I’ll be your conference call operator today. Before we begin, I would like to remind our listeners that today’s presentation is being recorded and simultaneously webcast. The company’s earnings release presentation and 10-Q were issued this morning. These documents and a replay of today’s presentation can be accessed on Hillman’s Investor Relations Web site at ir.hillmangroup.com. I would now like to turn the call over to Michael Koehler with Hillman.
Michael Koehler: Thank you, operator. Good morning everyone and thank you for joining us. I am Michael Koehler, Vice President of Investor Relations and Treasury. Joining me on today’s call are Doug Cahill, our Chairman, President, and Chief Executive Officer; and Rocky Kraft, our Chief Financial Officer. We will begin today’s call with a business update and quarterly highlights from Doug followed by a financial review from Rocky.  Before we begin, I’d like to remind our audience that certain statements made on today’s call may be considered forward-looking and are subject to the Safe Harbor provisions of applicable securities laws. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties, assumptions and other factors, many of which are beyond the company’s control and may cause actual results to differ materially from those projected in such statements. Some of the factors that could influence our results are contained in our periodic and annual reports filed with the SEC. For more information regarding these risks and uncertainties, please see Slide 2 in our earning call slide presentation, which is available on our Web site at ir.hillmangroup.com. In addition, on today’s call, we will refer to certain non-GAAP financial measures. Information regarding our use of and reconciliations of these measures to our GAAP results are available in our earnings call slide presentation.  With that, it’s my pleasure to turn the call over to our Chairman, President and CEO, Doug Cahill. Doug?
Doug Cahill: Thanks, Michael, and good morning, everyone. Today, I'm going to provide an overview of our healthy third quarter and discuss the current operating environment before I turn it over to Rocky to give an update on guidance and talk numbers. For those of you who are new to our story, Hillman is one of the largest providers of hardware products and value-added solutions at leading hardware and home improvement retailers across North America.  Our unique approach to innovative design, sourcing, direct to store delivery and in-store merchandizing sets us apart from our competition. This strategy has allowed us to win with our customers since our founding in 1964. We are constantly innovating our products, the majority of which are used for repair, remodel and maintenance projects, which for 58 years has provided insulation against cyclical downturns in new home and commercial construction markets.  Our products are in must-have basket building high margin categories for our retail customers. Therefore, keeping products in stock also known as fill rates is critical to the success of our customers in Hillman. Our in-store presence and direct to store delivery not only keep the shelves stocked, but also provides our customers solutions to today's challenging labor markets and certainly the unpredictable supply chains.  And finally, we work closely with many of our customers on category management to optimize product mix, allowing them to increase sales and profits, yet another advantage of partnering with Hillman. This differentiated model executed by our hard working team at Hillman strengthened our competitive moat and drove strong results for the quarter.  Our 1,100 members sales and service team is critical to our competitive moat and is one of the driving factors as to why we win. For example, during the quarter, we won new business in several categories including picture hanging, builders hardware, deck screws and solid wall anchors like our new patented concrete screw that are selling very well. We grew quarterly sales by 3.9%, adjusted EBITDA by 4.3 over the prior year. We were also awarded Vendor of the Year at the largest family owned Ace chain in the country; Costello's in Long Island, New York, a great retail partner of ours. We also completed the execution of our fourth price increase, enabling us to offset 225 million in total cost increases on a dollar for dollar basis since the beginning of 2021. And we saw a $40 million decrease in inventory during the quarter while maintaining fill rates at 96%, with plans to continue to significantly reduce inventory over the coming quarters.  Now turning to our financial highlights for the quarter. During the third quarter of 2022, we generated 59 million of adjusted EBITDA, up from 56.5 million in the prior year quarter. Margins were in line with Street expectations as we finalize $50 million price increase we talked about on last quarter's call. Our dedicated sales and service team finished applying over 80 million new price labels at our traditional local hardware stores near the end of the quarter.  Net sales for the quarter grew to 379 million, marking a 3.9% increase over the third quarter of 2021. For the year, net sales grew 5% to 1.14 billion. These improvements were driven by the implementation of price increases over the past year, which more than offset lighter volume. Now let me touch on performance of each business segment during the quarter. Hardware solutions is our biggest business and makes up over 50% of our overall revenue. For the quarter, hardware saw an 11% increase in revenue compared to the third quarter of 2021. Price increases were the main driver of the top line increase. Lighter volumes, which partially offset the price benefit, were mainly the result of lighter foot traffic at our retailers when compared to a year ago quarter. We believe hardware solutions is the bellwether segment of our business.  Let me share some numbers with you that will illustrate what's happening in this segment. While hardware volumes were down 3.3% for the first six months of 2022, we saw a comparative improvement during the third quarter of 2022 with volumes down just 1.7% for the quarter. Price was up 12.7% for a total revenue growth of 11%. This demonstrates the resiliency and consistency of the repair, remodel and maintenance end user.  Year-to-date fill rates were 96%. This is an improvement from 91% during 2021 and 95% during 2020. Importantly, our retail partners trust Hillman to keep the shelves stocked no matter the environment. Robotics and digital solutions, our RDS business makes up just shy of 20% of our overall revenue. During the quarter, lighter foot traffic in our retail customers resulted in a 3% decline in RDS revenue.  Engraving and auto key duplication were lighter than last year, as pet adoptions slowed and used car sales decreased when compared to the third quarter of 2021. Also, as retailers continue to struggle with in-store labor, we're seeing a shift in home and office key duplication from our manual full serve machines to our minute key self serve kiosks. This shift improves Hillman’s and our retailers’ profitability.  Overall gross margin and adjusted EBITDA margins for RDS remain healthy and our market share is strong. We had a very productive quarter working with our major key duplication and engraving customers jointly developing our next generation machines for our RDS business. Two new engraving machines in our new smart auto fob duplication machine are being developed for and with our retail partners. The feedback and interest level has been excellent. Our two new engraving machines will be introduced throughout 2023, and our smart auto fob duplication machines will be ready for the market in early 2024 on our next generation minute key self serve kiosk. Our engineering team has just done an amazing job on this new technology and our retail partners were able to see it with their own eyes in our Tempe manufacturing and engineering facility this quarter. Regarding our knife sharpening machine, Resharp, will end the year with around 1,000 machines as select Ace Hardware locations across the country. And during Q1 2023, we will test our one of a kind knife sharpening machine in new channels including specialty retailers, food service and restaurant supply, outdoor sporting and recreation retailers and a leading Canadian retailer. Our protective solution business makes up just shy of 20% of our overall revenue. During the third quarter of 2022, protective revenue was down about 15% compared to the year ago quarter. However, when excluding COVID-related PPE sales from both periods, protective revenues increased just over 5%, which is more in line with the growth expectations of this segment. Lastly, our Canadian segment, which makes up about 10% of our overall revenue, built on strong momentum and is seen throughout the year. Canada posted a 16% top line increase, which drove strong bottom line results as well. Our Canadian team is just doing a great job and they've also done an excellent job with the facility consolidation project and realigning their portfolio.  Now turning to our business model. We know that consumers are being impacted by inflation and higher interest rates. However, our long track record of growth through up and down cycles gives us confidence that we can achieve strong results no matter the economic environment. This is due to the competitive moat we built and our estimate that over 90% of our product sales are into the relatively recession resistance repair, remodel and maintenance market.  Let's dig a little deeper on that notion. Housing inventory in the U.S. continues to age with 50% of U.S. homes over 40 years old. Consumers will need to repair and maintain these homes. Additionally, we expect to see the consumer invest in their homes. More trends in nesting, aging in place, working from home and outdoor living remain prominent.  One recent data point on aging in place on the United Disability Services states that only 1% of homes in the United States are conducive to aging in place, but more than 75% of Americans want to stay in their homes as long as possible. Our retail partners are proactively preparing to take advantage of this future demand opportunity.  As we think about our product sales, pickup truck pros, local contractors and DIYers make up the vast majority of our end users. Our long history and channel strategy prove that our business is not tied to new home construction. Further driving our confidence is our unique business model, which helps differentiate us amongst the competition.  Our moat consists of three main components. Number one, over 80% of our 112,000 SKUs are delivered directly to the retailer's location. In general, this means our customers do not have to worry about managing Hillman inventory in their distribution centers because we ship directly to the stores number.  Number two, our sales and service team, consisting of 1,100 associates, provides world class service at the shelf for our retail customers. This team of warriors serve that Hillman's must have high margin products are in stock, organize and optimize for our customers and their consumers. And number three, over 90% of our revenue comes from brands that we own. This is not only important to the consumer and the pro. It allows us to tailor our products to specific retailer strategies.  At the end of the quarter, we finalized our fourth price increase since the beginning of 2021. All of these have been dollar for dollar increases to cover our cost. In total, we've implemented approximately 225 million in price increases, which breaks down to approximately 120 million in transportation and shipping, 90 million in commodities, and 15 million in labor. During the great financial crisis and other past recessions, we've seen commodity prices fall, which we've begun to see during the recent months. We expect margin expansion once these costs flow through our income statement beginning in the second quarter of 2023 and beyond. Back in 2001, many remember lead tides increased as the supply chain tightened. As such, we made the strategic decision to invest in our inventory to protect flow rates.  While improved from the end of the second quarter of 2022, we ended the third quarter of 2022 with about 140 million more inventory than we would normally need in this environment. This investment paid off and we were able to deliver 96% fill rate so far this year.  Hillman was built on taking care of our customers which is core to our moat, and we're proud to say that we have lived up to these expectations through some very challenging times. We know retailers have long memories, and we believe this investment will result in new business wins in the future.  Over the past several months, we've seen lead times from Asia settle around 160 days, which is vastly improved from the 250 plus day lead time the industry experienced in January of this year. The result is that we have started to bring down our inventory levels and we're beginning to delever our balance sheet as we turn the inventory to cash with no impact to our industry leading fill rates.  Sequentially, our inventory decreased by 40 million compared to Q2 and we expect to bring inventory down another 25 million to 35 million by year end. As we looked at '23, we believe that it will further improve our inventory position, which will put us at a more normalized inventory level by the end of 2023. As such, we will bring down working capital and benefit from lower costs, which will result in delevering our balance sheet.  As we look to the fourth quarter, we continue to expect that our adjusted EBITDA will fall towards the low end of our original guidance range and to pay debt down as we bring inventory down. However, softer volumes and the traffic at retailers during the quarter have impacted our top line and cash flow timing, which Rocky will get into momentarily.  That said, our focus remains on successfully navigating this challenging environment and really setting the stage for Hillman to improve our performance during 2023. The $225 million of implemented price increases provide an opportunity for future gross margin and adjusted EBITDA expansion. We expect this will begin to read sometime during the second quarter of 2023 as we sell through our higher cost inventory and start to see lower cost flow through our P&L.  It goes without saying we have a special team of 1,100 loyal, hardworking associates that are in our customers' retail locations every day. The resilience of this team truly shines when a terrible natural disaster like Hurricane Ian hits. Everyone at Hillman is immensely proud that our Florida based team members have been working tirelessly to be sure our customers have the products in stock so their communities can be safe and begin the rebuilding process. Our thoughts are with those impacted by the hurricane, especially those who have been displaced. We are thankful to be in the position to help Florida rebuild.  Looking forward, I'm confident that our talented team and hardworking associates have proven that we can successfully navigate any challenge that comes our way. I believe we're uniquely positioned for success and our focus remains taking care of our customers. Our performance for our customers over the past couple of years has positioned us to drive real value for our shareholders and our employees in 2023 and beyond.  With that, let me turn it over to Rocky.
Rocky Kraft: Thanks, Doug, and good morning, everyone. Before I provide a quick summary of our third quarter results, I'll jump into our updated guidance for the remainder of 2022. Since our last earnings call in August, we have executed on additional price increases, maintained our leading fill rates and controlled costs. As such, we are nearing our full year adjusted EBITDA guidance range to 207 million to 211 million, which is in line with our previous guidance.  Relative to our expectations during the first half of the year, sales to our retail partners have been lower due to slightly lower foot traffic. The effect of destocking for the quarter only impacted us by about $10 million primarily in our PS business. Altogether, this will impact our net sales and the timing of our free cash flow for the remainder of the year.  With this improved visibility, we are providing the following updates. We now anticipate that our full year 2022 net sales will come in between $1.46 billion and $1.5 billion. Last quarter, we told you that we would come in near the low end of the original range which was 1.5 billion.  We expect full year 2022 adjusted EBITDA to total between $207 million and $211 million. Last quarter, we told you adjusted EBITDA would come in at the low end of the original guidance, which was 207 million. So we are simply putting some numbers around the directional language we provided in August.  And lastly, free cash flow is expected to come in between 75 million and 85 million compared to our original guidance range. This is driven by the timing of the inventory reductions resulting from softer sales. Note that this guidance range excludes any cash settlement relating to the Hy-Ko litigation as the timing of that one-time payment is uncertain.  Given the lighter cash flow numbers for the remainder of the year are primarily due to the timing of inventory reductions moving into the first quarter of next year, we expect to invest less in the working capital during the first quarter of 2023 versus years past.  This is noteworthy considering the first quarter is typically when we take on debt in order to buy more inventory for our spring bill. For example, over the past three years, we increased working capital about 40 million during the first quarter. During the first quarter of 2023, we are confident that we will need less than half of that figure.  Now let me spend a minute on the third quarter charge related to Hy-Ko. After a trial in Marshall, Texas in October, a jury awarded Hy-Ko a $16 million verdict in the form of a one-time royalty payment. We have included the verdict and related legal fees in our GAAP results. We have executed the verdict from our free cash flow expectations as it is currently unclear the final amount or timing of any settlement. We will continue to defend and protect our intellectual property and patents in our RDS business and across the company.  With that, let me turn to our financial results for the quarter and future outlook. Net sales in the third quarter of 2022 increased 3.9% to $378.5 million versus the prior year quarter. Hardware solutions was the main contributor to the increase, which was up 11% to 210.9 million. Overall, the improvement was driven by a 13% price realization partially offset by a 2% decline in volume.  RDS sales decreased by 3% to $65.6 million. Wider foot traffic, less activity and pet engraving and fewer smart auto fob duplications were the main drivers of the decline. Protective solution sales were down 15% or $10.5 million resulting from lighter volume. Excluding COVID-related PPE sales, protective sales were up 5%.  COVID-related sales for the quarter were $1.3 million compared to $15.1 million during Q3 of 2021. For the fourth quarter of 2021, COVID-related PPE sales were 19.2 million and we do not anticipate meaningful COVID PPE sales for the remainder of 2022.  Our Canadian business had terrific performance in the quarter. Sales were up 16% to $41.1 million compared to the prior year. And we significantly improved profitability for the third quarter in a row. As we have seen throughout the year, price, operational improvements, product mix and exiting unprofitable business have driven nice profit improvement in Canada.  On a GAAP basis, net loss for the third quarter of 2022 totaled $9.5 million or $0.05 per diluted share compared to a net loss of $32.5 million or $0.19 per diluted share in the prior year quarter. I would like to point out that our GAAP results include the $16 million settlement in additional related legal expenses from the Hy-Ko litigation.  Adjusted earnings per diluted share for the third quarter of 2022 was $0.14 per share compared to $0.13 per diluted share in the prior year quarter. On an adjusted basis, third quarter adjusted gross profit margin declined by 60 basis points to 43.3% versus the prior year quarter. As we have discussed on prior calls, the primary driver of the margin pressure in our hardware and protective businesses was driven by dollar for dollar price increases to offset inflation, partially offset by strong margin performance in RDS and Canada.  On a sequential basis compared to the second quarter of 2022, adjusted margins compressed by 80 basis points due to the timing of the price increase in our traditional local hardware stores as inflation was not yet fully offset in this portion of the business and a pull forward of promotional activity in our PS business to the third quarter. We anticipate our fourth quarter gross margins to be consistent with the rates we experienced in Q2 of 2022.  For the quarter, GAAP SG&A totaled $133.2 million compared to $110.4 million for the prior year quarter driven by legal expenses related to the Hy-Ko litigation and settlement. Adjusted SG&A was 104.4 million compared to 103.4 million in the prior year quarter. This analysis backs out stock compensation, acquisition and integration expenses, legal fees and restructuring costs which we feel gives a better analysis of our base expenses.  Adjusted SG&A as a percentage of sales fell to 27.6% from 28.4%. While fixed costs and inflation impacted SG&A as a percentage of sales, we did a nice job managing costs during the quarter. Adjusted EBITDA in the third quarter increased 4.3% to $59 million compared to $56.5 million in the year ago quarter. This is the first time since the second quarter of 2021 that we have beat prior year EBITDA.  Similar to our adjusted gross margins, adjusted EBITDA was driven by a healthy mix of price cost partially offset by lighter volumes, higher COGS, and the timing of our final piece of our price increase. Further driving the increase was a lift from strong earnings from our Canadian business.  Now turning to our cash flow and balance sheet. For the year-to-date in 2022, operating activities generated 63.1 million of cash as compared to using 105.3 million in the prior year quarter. As Doug discussed earlier, we made the strategic decision to invest in our inventory last year and this investment is now beginning to convert into cash.  To recap, we expect to bring inventory down by another $25 million to $35 million by year end. And for 2023, we will continue to improve our inventory position and expect a more normalized inventory level by the end of 2023. Capital expenditures for the quarter were $17.5 million compared to $14.3 million in the prior year quarter. We continue to invest in our RDS kiosk and merchandizing racks, important parts of our high return CapEx initiatives.  Maintenance CapEx remained near 1% of sales as expected. Looking forward, we have shifted some priorities within RDS due to chip shortages and market dynamics. We are seeing meaningful demand for our next generation Quick-Tag 3 engraving machines at one of our major retail partners. We expect the Quick-Tag machines will be located in a very attractive in-cap location within the store, which has performed very well during tests.  We are also seeing demand for minuteKEY 3.5 self service kiosk machines, which will be outfitted with our first ever smart auto fob key duplication technology, which we believe will be a meaningful future growth opportunity. Beginning in 2023, we will begin to bring these machines to market while we continue to gather critical data on our Resharp machines at Ace. Additionally, we will be testing Resharp with other customers in the restaurant and sporting goods sectors. We are very excited about the opportunities for all three of these initiatives, which we believe will fuel high margin growth as we look into 2023 and beyond. Considering chip shortages continue to hinder our ability to produce robotic kiosks to meet demand, we must be strategic in how we source components and deploy machines. While we believe that chip availability will improve in 2023, we are implementing a strategy to widen new customer testing with a smaller number of machines.  We ended the third quarter of 2022 with $922 million of total net debt outstanding, down from $931 million at the end of 2021. At the end of the third quarter, we had approximately $225 million of liquidity, which consists of $195 million of available borrowing under our revolving credit facility and $29 million of cash and cash equivalents.  Our net debt to trailing 12 months adjusted EBITDA ratio at the end of the quarter was 4.5x, which was in line with where we ended '21 and an improvement from 4.7x at the end of the last quarter. Our long-term net debt to adjusted EBITDA ratio target remains unchanged at below 3x. Considering our lighter free cash flow guidance, we plan to reduce our leverage to the low 4x level at the end of 2022. As we talked about today, we were successful in implementing our fourth price increase which was finalized towards the end of the third quarter. Our dollar for dollar approach to covering costs has resulted in some margin rate degradation. However, historically, we have not given price back dollar for dollar when inflation cools. Today, we are seeing commodities, container, freight and other costs begin to moderate. We expect to benefit from this dynamic once these lower costs flow through our P&L, which we believe will begin during the second quarter of 2023.  Looking further out, our long-term growth algorithm of 6% organic net sales and 10% organic adjusted EBITDA growth remains intact. In an economic environment where we are seeing 2% to 3% GDP growth, we have a high level of confidence in this algorithm and we may see adjusted EBITDA growth in excess of that with some price cost tailwinds on the horizon.  Over the long term, our business continues to benefit from the meaningful macro tailwinds in the home repair, remodel and maintenance market that Doug spoke to earlier. As we look forward, we believe that our competitive moat will allow us to continue to win new business, drive sales and allow us to perform at or above our stated growth algorithm over the long term.  With that, Doug back to you.
Doug Cahill: Thanks, Rocky. Despite the choppy macro environment, Hillman continues to take care of its customers first and foremost. Our competitive moat continues to differentiate our offering and deepen our customer relationships. Considering the challenges in supply chain and inventory environment, we're really pleased with how we have executed and maintained strong performance at the shelf with our customers.  Our 1,100 field sales and service folks combined with our direct to store delivery bring solutions to our customers' complex needs really an offering unmatched by our competition. The value we bring our customers is reflected by our customers' willingness to accept our pricing actions, grant us additional shelf space, and award us new business, all of which we've seen this year. As we look forward, we remain confident in our differentiated model and believe we can drive long-term value for all of our shareholders. With that, we'll begin the Q&A portion of the call. Therese, can you open up the call for question?
Operator: Thank you. [Operator Instructions]. Our first question today will be from David Manthey from Baird. David?
David Manthey: Yes. Thank you. Good morning, everyone. 
Doug Cahill: Hi, David.
David Manthey: First off, I have a theoretical question here. I know it's a moving target and there's some seasonality to your business. But if your price increases that have already been announced and implemented go through and assuming that your input costs don't decline from where they are right now, all we do is we just catch up on the pricing side immediately and fully, what type of EBITDA margin would we be looking at annually? It's 14 sort of the representative level, and then you'll try to improve from there as your input costs come down. Help us with that calculus?
Rocky Kraft: Yes. Hi, David. It's Rocky. I think your numbers are directionally right. I think if we stay where we are, and as we have visibility into the fourth quarter, obviously, we're not going to give guidance at this point for 2023. But I think it's 14-ish at current levels. And we would expect to drive that higher over time, particularly as you think about growth in the RDS business, which obviously is a much higher EBITDA rate than the remainder of the business.
David Manthey: Okay. And speaking of the robotics solutions, you've talked a lot about the pricing actions on the hardware side. Have you also adjusted any pricing on any of your robotic kiosks?
Rocky Kraft: We have. David, we've done some, not a lot. But what we also look at is the difference between full serve and self serve and the cost of the machines. So you can see some of that coming in the future as well as the cost of machinery is up. And certainly with us having both self and full serve machines in most of our retailers, there's an opportunity because today the consumer ironically plays more for a key that they have to cut themselves than one that is cut for them by the labor in the store. And when you really think about that map, it doesn't make sense. So we're working on that as well.
David Manthey: Okay. And last question for you, one more here. Could you tell us your contracted versus spot container rates? And when do those container contracts renew? I think you've told us before, but just to update us.
Doug Cahill: Yes. Everything renews for almost everybody, David, unless they did a two year in May of 2023. As you know, container rates have gotten soft and the spot market has dropped dramatically. We're in a good position because our contract carriers that we've used for many years don't want to lose the volume. So they're doing the right thing on a monthly basis to make sure they don't lose the buy-in because we have a very small exit penalty to get out of the container and go from contract to spot. And so it's kind of a no-brainer. So we're pretty much at the market, if you will, within a few percentage right now, which is great. And who knows where it's going, but man it has definitely softened for everybody.
David Manthey: Yes, sounds good. All right. Thanks, Doug. Thanks, Rocky.
Doug Cahill: Thanks, Dave.
Operator: Thank you, David. Our next question comes from Lee Jagoda from CJS Securities. Lee?
Lee Jagoda: Hi. Good morning.
Doug Cahill: Hi, Lee.
Lee Jagoda: So just to piggyback on that last question, obviously you're going to benefit as you go from contract to spot rates or close to spot rates. Can you just remind us of the lag in terms of the stuff that you're getting at spot today, when does that actually hit your P&L in terms of a margin benefit?
Doug Cahill: Yes. So we actually -- Lee as you think about entering into the new contracts in May, as we go through the fourth quarter and into the first quarter, we're going to see some of the highest cost inventory we have just given the lag time. So it's a challenge for us. But we've got full price in place now. And so we'll offset that. And as we said, we believe fourth quarter margin rate is going to look a lot like what we saw in the second quarter. It's really -- as you think about it, it's a couple of months when we pay the bill, when we float a boat, and then it has to come through the inventory. So think five months on average probably after that. And so as we think about current costs, right, you're thinking about kind of middle of next year when we'll begin to see that benefit from containers. And as we said in our prepared remarks, we would expect some of that just given the timing and what we've paid versus what was happening in the second quarter of this year that we'll begin to see some of that benefit in the second quarter of 2023.
Lee Jagoda: Got it. And then just as it relates to RDS and Resharp, it sounds like you're making some pretty good progress getting machines out to Ace and then there's some new stuff in the hopper, testing at some other companies or other customers. If the current supply chain related to the chip environment stays where it is, how many machines can you manufacture next year? And where are we in terms of Ace turning on more national advertising for the program?
Doug Cahill: Yes. So Lee, Ace has been awesome. And we had a great conversation with him and said, hey listen, let's not drip this thing in. Let's get to 1,000. And what we'll do Lee is we'll have our service folks move those machines to different stores so that everybody kind of gets a feel, while we take the chips we have make machines and do the testing in accounts that we talked about. So we kind of pivoted to say, let's optimize within Ace moving machines around, let's start to test it at the sporting goods, in the specialty retailers, in the food supply and restaurant. And let's use those chips for those tasks. Then when chips become available, and let's just say second half of '23, we can rock and roll. And that's the plan.
Lee Jagoda: Got it. So as it relates to more national advertising, are we thinking second half of '23 or sooner than that?
Doug Cahill: Yes, I don't -- I think at 1,000, it's still tough math for them and us. We've said we need to be at 1,500. So I think you're really talking about latter part of the year to get to that. What I like about the strategy change is that Ace was very cool saying, listen, you've given us this machine. We know others want to try it. Why don't you do that now and then when chips become available, we can do a better rollout and get going. So I think you're really talking about probably fourth quarter for that because we are not going to have enough chips to get to that 1,500 level with what we're doing to test in other locations.
Lee Jagoda: Got it. And then one last one for me. Just any early commentary to the extent the test with service has started at that large retailer?
Doug Cahill: Yes, it's interesting. They have really struggled with labor in the store. Their execution -- remember, we delivered in 997, crushed it. They today still have 400 stores that are not set. It's just crazy. And so if there's ever been a story that says it makes sense for that, it's this category and this retailer, we actually talked to him yesterday about it, but they have really struggled with some execution and it goes back to an overall labor shortage because their initial execution was only a 60% of the store rate. So they're working on it. We're working the test. And I think you'll see something like that start to come together in '23. I'm hopeful for that.
Lee Jagoda: Got it. All sounds great. Thanks very much.
Doug Cahill: Okay, Lee.
Operator: Our next question comes from Brian Butler with Stifel. Brian?
Brian Butler: Hi, guys. Thanks for taking my question.
Doug Cahill: No problem. Brian, do you wear a bowtie when you're pinch hitting for the big guy?
Brian Butler: You can imagine me like that if it helps. So I guess on the inventory piece. You gave some good color on kind of how it plays out. So if I understand it correctly, you have about 140 million, 25 million to 30 million is in the fourth quarter. So that leaves you 110 million. And I guess a part of that is in the first quarter of '23, maybe 20 million additional, and then that leaves you another 90 million over the rest of '23 that comes off. Is that the right way to think of it?
Doug Cahill: Yes. I think, Brian, the one thing you have to remember is we have grown the business. So we're going to need more inventory than we had back in the beginning. So I think as we think about '23, we're not going to give guidance at this point. But we'd be very disappointed if we didn't take another $50 million out of inventory in 2023, minimum.
Brian Butler: Okay. So you're not going to actually get back that whole 140 million because you've grown the business to the point?
Doug Cahill: Yes. And I think, Brian, the other thing to keep in mind, I mentioned it last quarter, but we haven't said anything about it this quarter is we have to balance making sure we've got these 25-year partner suppliers that we've been doing business with all the way back to Mick and Rick Hillman. So part of why we still have 140, Rocky mentioned the sales weren't quite as strong as we'd like. But the other part is we're managing to make sure our suppliers remain healthy. So it's a balancing act -- we don't want to hurt our key suppliers by just turning the spigot off and crushing them. We don't want them to let their employees go. Because when we start to rock and roll again, we can't afford it. We can't have them not be able to keep up. So part of this balancing act is working with our key suppliers.
Brian Butler: Okay, that's helpful. And then I guess one on the extra week in the fourth quarter, can you give some color on the magnitude of that? How big from revenues and EBITDA perspective?
Doug Cahill: Yes. That's always handy. But if you really think about the retailers, there's so slammed with Christmas, they're not thinking about deck screws. There just isn't that much going on that week for us unfortunately. I wish it was an extra week in the spring, Rocky.
Rocky Kraft: Yes, I agree. Brian, what I would tell you is it's actually only three days when you think about holidays, a. And then b, there's just not a lot of activity. So it's really not that meaningful for us from a top line perspective. The only business that really gets a little bit of benefit is RDS because stores are open, those machines are there, but we're not going to ship very much product that week.
Brian Butler: Okay. And then maybe one last one. We talked about I guess the container cost coming down and the benefits. What about lower metal prices? As that comes down, how does that work through the P&L in maybe the fourth quarter or more important in probably 2023?
Doug Cahill: Yes. We've begun to see some softness. If you look at China steel, we would tell you Taiwanese steel is actually still pretty high relative to historic norms. And the way commodities work in our business is you think about the lead time that we have that's 160 days for when we placed the PO. And then it's got to flow through our inventory. So it really is, I'll call it 160 days plus five or six months before we feel that benefit. And so even some of the POs that we've been placing in the second half of this year, we're not going to feel any benefit into the second half of '23.
Brian Butler: Okay, that's awesome. That was my questions. Thank you.
Doug Cahill: Okay. Thanks, Brian.
Operator: Thank you, Brian. Our next question comes from Matthew Bouley from Barclays. Matthew?
Matthew Bouley: Hi. Good morning, everyone. Thanks for taking my questions.
Doug Cahill: Hi, Matt.
Matthew Bouley: So you guys obviously stuck to the long-term EBITDA guide in terms of 10% annual growth. As we're talking about input costs or -- and shipping costs has come down since 90 days ago. I guess the volume outlook is perhaps more dynamic. My question is what kind of changed in your crystal ball 2023 outlook in light of these moving pieces, given that seemingly larger input costs tailwind that you guys are speaking to as of the second quarter? Could we expect EBITDA growth greater than 10% next year? Thanks.
Rocky Kraft: Yes. I think Matt, again, we're not going to give guidance on this call. But as you think about how the benefits from the tailwinds that you speak of are going to flow through, right, as we said in our prepared remarks, they're going to begin in the second quarter. So I think you're probably going to have a tale of two halves, first half with less benefit from that. And quite frankly, in the first quarter, we're going to see some of the highest costs that we've seen as we feel the flow of May, June timeframe containers through our P&L. That said, the second half -- yes, we would expect that there are some tailwinds and we should see some benefit in excess of what the algorithm would suggest. You put those together. And, again, we talk more long term about 10%, we expect that there will be years that we're slightly below that and there are years that we're slightly above it. And again, as we said in our prepared remarks, I think as we think about the second half of '23 and into '24, we feel pretty bullish about where the business is, given the price that we've taken and what we're seeing with commodities.
Matthew Bouley: Got it. That's super helpful. Thanks for that, Rocky. And then second one on -- so you got the lower costs coming through. You spoke earlier about obviously customer willingness to accept these past price actions, the four price increases you've taken. When you think about your kind of different categories, would you expect that your retail customers would try to reduce prices in any category to drive foot traffic? And would that result in any kind of pushing back on Hillman at all from a price perspective?
Doug Cahill: Yes. I think that when you think about our category being part of -- normally a project, it's just such a small part of it. We don't really have things that drive volume based on price with the exception of we've seen some nice benefits from being able to sell, for example, three pair of gloves for 999. In that case, Matt, that is a price point that makes sense. And when you can't hit it, you'll see volume go either way. But in the hardware solutions business, you're really not talking about any promotional activity or driving really any volume through any kind of pricing either direction. It's pretty mute with the customer. They need to have it as part of the project, but it's not an expensive part of the project. And retailers will do their job. They will make sure that we remain competitive versus the world and that they remain competitive versus their competition. That's just all part of daily hand to hand combat.
Matthew Bouley: Got it. That's helpful, Doug. And then last one for me. I think you mentioned there were some destocking impact on the protective side. Can you just speak to the hardware side there? Should we expect to see any kind of destocking going on, either in the near term or perhaps in a more recessionary scenario in that category? Thank you.
Doug Cahill: Yes, not much, Matt, at all. As I said last time, there's somebody that would say, oh, I got some SKUs that are slow movers, I can take them down from 26 weeks to 24 weeks. We haven't really seen much of any impact in HS. And the reason, Matt, that you're seeing it with some of your other companies that you follow and the reason you would see it in PS is that's the one product that we do ship some through the retailer's distribution center. And the big change there other than the obvious Asia time is that they've been able to get things through their distribution centers from what was 28 days to get it from front to back to now about 12 days. So straight math, they just don't need the same amount of product that they had. And the majority of that 10 that we talked about is PS, and I don't anticipate we're going to have much, if any, on the HS side, just because it's direct to store, there's not a whole lot they can do. Also, with what's going on in Florida, there's going to be a few drywall and deck screws sold down that way, so we may reposition some stuff to help the retailers out because there's going to be a lot of demand down there once the insurance folks figure out whether they're in business or not.
Matthew Bouley: All right. Well, thanks, Doug. Thanks, Rocky. Good luck, guys.
Doug Cahill: Okay. Thanks, Matt.
Michael Koehler: Operator, do you want to take the next question from Ryan Merkel from Blair? We lost Therese. She went to get coffee.
Operator: I am so sorry. I was on mute. Our next question is coming from Stephen Volkmann of Raymond James Jefferies. [Operator Instructions]. Stephen?
Stephen Volkmann: Great. Good morning, guys.
Doug Cahill: Stephen, I didn't know there was a big merger this morning, Raymond James and Jefferies.
Stephen Volkmann: Yes, I was going to say I wasn't aware of it either. But who knows, maybe it would be an idea. Thanks for taking my question. Most of them that have been answered actually. But I'm just curious sort of directionally, how we should think about kind of SG&A considering 2023 is sort of a -- probably a bit of a choppier year of overall demand? Do you guys -- would you typically sort of pull back on SG&A or do you still need to sort of make the investments that you're making to drive growth into '24 and beyond?
Doug Cahill: Yes. Stephen, you know from some of the companies that you cover, historically, folks who have a big marketing and ad spend, they hit that first before they hit SG&A and the other bucket. For us, we don't have that bucket. So we're going to do everything we can to control what we control. We're not going to -- actually we'll be adding people to our service network next year in our service organization. But we're going to do everything we can to control what we can control. But we don't have a bucket of marketing or advertising or big promos to hit. So you'll see us do the right thing. But you won't see dramatic cost savings or cost increases either direction. Rocky, anything on this?
Rocky Kraft: No. The only thing I would add and we talked about this on our second quarter call that we did take some actions at the end of the second quarter, early in the third that we think provide more flexibility, I should say, around our SG&A costs and our ability to pull some levers. You can see we had a nice performance in SG&A in the third quarter. We expect that to continue into the fourth. And we're going to continue to make sure that we've got the right cost in the business to drive it forward, not spending in areas that don't provide benefit but spending in areas like Doug said, in the service organization, the sales organization to help fuel the growth that we see in the business.
Stephen Volkmann: Okay, super. And then maybe just this might be a new guy question, but how should we think about sort of new business for 2023? And I would define that as I guess sort of SKU expansion with existing customers or adding new customers or any of that, just sort of whatever isn't driven by just end market volume trends, how does that sort of layer in going forward?
Doug Cahill: Yes. So as we think about the algorithm and the 6% organic top line growth, historically, that's 2% to 3% new business wins every year. And that's principally existing products with existing customers. So it's taking additional shelf space from our competitors. There are a couple of items in play as we sit today like construction, concrete screws, new area for us where we're taking a lot of share that we're really excited about. As we think about 2023 similar to '22 and what we've seen in the last few years, we would expect that to be 2% plus of our revenue and we've got line of sight to that as we think about '23.
Stephen Volkmann: Super. Thank you very much.
Doug Cahill: Sure. Thanks, Stephen.
Operator: Thank you. [Operator Instructions]. And our next question comes from Ryan Merkel with William Blair. Ryan?
Ryan Merkel: Hi, guys. Good morning.
Doug Cahill: Hi, Ryan.
Ryan Merkel: So my first question is on volume trends. Can you just talk about how volume trended through the quarter and into October? And really what I'm curious about is if it's sort of stable or if the trend line is sort of declining?
Doug Cahill: Yes. When you look, Ryan at our HS business, which I think is the best bellwether, we actually did see an improvement in Q3 and over the first half, and several of our retailers said the same thing. Now remember, part of their 15% down is as a result of this screwy spring that they had. So that definitely got better. But I'll quote one retailer, it was amazing to them that after the July 4 weekend, they seem to see things pick up a little bit better. So I would say they're slightly better than they've been is what we're seeing right now.
Ryan Merkel: Got it. That was kind of my view as well. And then on gross margin, it sounds like 4Q, the 44%. Can we think about that as the baseline for '23? It sounds like maybe the first half of '23 maybe a little below that due to the high cost inventory. But then in the second half, is it 44 or better? Is that right?
Doug Cahill: Yes, I think 44 we believe is a good baseline for our business. And so yes, Ryan, as you think about it, the first quarter may be slightly below that. I think as we go into the second, through the rest of the year, we would expect to maintain or grow that rate.
Ryan Merkel: Okay. And then last one for me, I think you put through about 225 million of costs. Just curious, how much of that do you think you can keep as costs deflate over the next 12 to 18 months?
Doug Cahill: Yes, that's a -- if anybody figures that out, let me know. I think the way we look at it is that we've never been here before. Now if you go back to past times, Ryan, price would go up, retails would go up and there's never been a time where we've given back price. I think it would be very naive of us to say that there's not going to be some price given back over time. The one that I would say would be the most suspect to that and worthy of working with our retailers is if we see this container momentum downward and pricing continuing, then there's certainly justification for the fact that that part of it should be worked back with our customers. And that's the one I would say I will look to retailers in the eye and say, let's be honest, we know what's happened. We know what was supposed to happen. What we don't know is what -- so we talked about this big inventory reduction that's taken place in North America as a result of the changes in lead times. That's crossed those guys. We don't know what's going to happen as it normalizes nor do we know what's going to happen with fuel. But that's probably the one, Ryan, that I would say -- you'd have to say long term that we'd worked back with our customers on.
Ryan Merkel: Yes, that makes sense. All right. Thanks, Doug.
Doug Cahill: Okay. Thanks, Ryan.
Operator: Thank you, Ryan. This concludes the Q&A portion of today's call. And I would like to turn the call back over to Mr. Cahill for some closing comments.
Doug Cahill: Thanks. And thanks everyone for joining us this morning. I really want to thank our customers and suppliers, importantly the folks that do it every day for us at Hillman that contributed to the quarter. We look forward to updating you again in the near future. And again, thanks for joining us today.
Operator: This does conclude our program. You may now disconnect. Have a wonderful day.